Operator: Welcome to the MPC's Second Quarter 2019 Earnings Call. My name is Amber, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session.  I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Sounds, great. Welcome to Marathon Petroleum second quarter 2019 earnings conference call. The slides that accompany this call can be found on our website at marathonpetroleum.com under the Investors tab. On the call today are, Gary Heminger, Chairman and CEO; Greg Goff, Executive Vice Chairman; Don Templin, CFO; Mike Hennigan, President of MPLX; as well as other members of the executive team. We invite you to read the Safe Harbor statements on slide 2. It's a reminder that we will be making forward-looking statements during the call and during the question-and-answer session. Actual results may differ materially from what we expect today. Factors that could cause results to differ are included there as well as in our filings with the SEC. Now I will turn the call over to Gary Heminger for some opening remarks and highlights on slide 3.
Gary Heminger: Thanks, Kristina, and good morning and thank you for joining our call. Earlier today, we reported adjusted net income of $1.1 billion or $1.73 per diluted share. This quarter, we executed across all aspects of our integrated business and delivered solid results, generating $2.8 billion of cash from operations. Our impressive cash generation allowed us to return roughly $850 million to our shareholders this quarter, while also funding many key strategic investments, which we expect will continue to enhance our long-term earnings profile. Our team's execution this quarter led to strong synergy capture. Combined with our first-quarter results, we have realized $403 million of synergies year-to-date. Our progress, gives us great confidence in achieving our target of up to $600 million of annual gross run-rate synergies by year end 2019 and $1.4 billion by the end of 2021. Don will provide a detailed update around synergy capture later on the call. Our retail business had an exceptional quarter and demonstrated its ability to capture value. Strong results this quarter reflect the tremendous focus by our team and management of the day-to-day business in conjunction with the integration of the new stores. We have converted over 400 stores since the combination, putting us well on track to achieve our goal of 700 stores by the end of this year. In Midstream, we simplified our structure into one public company to high-grade commercial opportunities and progressed an impressive slate of high return projects that are expected to enhance integration across our system. Mike will speak to our execution around new projects, as well as provide an update on our overall midstream strategy shortly.
Mike Hennigan: Thanks, Gary. Turning to slide 4. We are pleased to have successfully combined MPLX and Andeavor Logistics into a single entity, creating a leading large-scale diversified midstream company anchored by fee-based cash flows. As is often overlooked, our business mix has evolved to a more stable, long-dated cash flow profile. Logistics and storage makes up approximately 60% of the cash flows for MPLX and our incremental capital programs, predominantly focused on building out our integrated crude oil and natural gas logistics systems, particularly in the Permian. In addition, we continue to move our capital investments toward the L&S side of the business. At MPLX in 2018, 85% of our capital was directed to the G&P business, in 2019 we move that ratio to about 50/50 and our expectation in 2020 is to spend the majority of our capital in the L&S business. When we think about building out our logistics systems, one of our core objective is to invest in projects that enhance MPC's integrated value. During the quarter, three examples of projects that advance this integrated strategy are Whistler, Capline and Wink-to-Webster pipelines. On Whistler, MPLX announced a final investment decision on this natural gas pipeline into securing sufficient, firm transportation agreements with shippers. This joint venture project is being designed to transport approximately 2 billion cubic feet per day of natural gas from the Permian Basin to the Agua Dulce area, in South Texas. We expect the Whistler system to eventually provide low-cost natural gas to our Galveston Bay refinery. Natural gas is a key input at our refineries and this project creates a compelling industry solution, as well as lowering the overall cost of our system where we are currently utilizing third-party infrastructure.
Don Templin: Thanks Mike. Slide 5 provides a summary of our second quarter financial highlights. Adjusted EBITDA, which excludes turnaround cost was $3.2 billion for the quarter. Operating cash flow before working capital was approximately $2.8 billion. We returned $852 million to shareholders through $352 million of dividends and $500 million of share repurchases. We ended the quarter with $660 million shares outstanding. And for the year, we returned over $2 billion to shareholders.
Kristina Kazarian: Thanks, Don. As we open the call for your questions. As a courtesy to all participants, we ask that you limit yourself to one question and one follow-up, if time permits we will re-prompt for additional questions. With that, we will now open the call to questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Doug Terreson of Evercore. Your line is open.
Doug Terreson: Good morning, everybody and congratulations on solid results.
Gary Heminger: Thank you, Doug.
Doug Terreson: Yeah. First, my first question is execution and synergy capture seem to be improving especially in Refining and Speedway and returns on capital appear to be headed back to the historical trend. And this is all good news. And on this point, my question regards the opportunity set going forward. And specifically, while I realize we're only two quarters into the program, how would you characterize integration opportunities that you've seen so far. Do you sense that they're going to become stronger over time? And if so, in what areas?
Mike Hennigan: Yeah, Doug. I’ll let Don talk about specific synergies, Doug. But, let me just talk overall about the synergy -- excuse me, about integration. We're very pleased where we stand on integration to date, and specifically when you look through the segments on refining just listening to Don's presentation here of the turnaround activity we had at Los Angeles and at Martinez, we have some work coming up in St Paul. But what we're seeing across the refining complex is very strong integration. We're developing our team. We've transferred of people from Marathon into some of the legacy Andeavor plants and vice versa. So we see that integration and the communication between the refining coming along very strong. One of the things that we have talked about in the prior quarter, and I've talked to many investors about this, we saw this opportunity with the cat cracker at LA that we could bring in a new catalyst, a new technology and it really improve the output in yield of that plant. Don, can go into a more detail down the road here. But, that is really coming to fruition and as we're capturing -- and this was a synergy that we had not identified prior to the transaction. So I think it's just illustrates, Doug, how well, things are coming along on the integration. We just presented to our Board yesterday, a very big project. We have now defined how we're going to go forward with our SAP system at the end of the day, but how we're going to integrate all of the accounting and financial data, a big project, but we've completed. We've identified that, and we're now moving forward to be able to get that implemented here over the next 18 months to two years and will bring it on in different cycles. I mentioned retail, again, a very strong story at retail, and to have 400 stores complete to date and very much on target to hit the 700 by the end of the year. We're starting to see the improvement in the stores in the Southwest that we have already converted. We're seeing improvement in the stores up at Minnesota Wisconsin that we’ve converted. So those things are that that integration, but more so, being able to bring in one common platform that manages the stores is a big help in managing your operating costs. And then lastly on the Midstream side, it was really a big milestone to close the transaction between ANDX. Mike Hennigan has already outlined the team that they have in place a very strong team. And I congratulate Don Sorensen who is the President of ANDX, who really did an outstanding job. I would like to have kept Mike with the team. But he wanted to move on to do some other things. But they did a great job as we proceeded in being able to put this transaction together. So let me ask Don to go into some of the synergies in more detail.
Doug Terreson: Okay.
Don Templin: Yeah, Doug, as I said, we were really pleased with the performance of the team around synergies to 270 million this quarter. We did highlight a couple of one-time synergies. And when I think about one-time synergies, the way we've defined that is synergies that we're capturing in 2019, but are unlikely to continue into 2020 or beyond. And so, that $30 million or so is primarily around optimizing Tier 3 gasoline credits, and so that won't continue past this year. On the other -- in the refining sector, we did highlight turnaround cost savings during the quarter of about $60 million, obviously, that won't continue every quarter, but we're going to have turnarounds over the next three years, and we're very confident that our management of those turnarounds will allow us to continue to be able to deliver them on time and on budget. So, if I think about the $270 million for the quarter, I take out the one-time, the $30 million that gets needs. And then I think about sort of the 60 million that doesn't recur every quarter, that's a $180 million for the third quarter, $60 million a month, if you will. If I annualize that $60 million a month, that's why we get really excited about and have conviction around our view that we will get to the synergy target that we communicated at our earnings call.
Doug Terreson: Sure, looks like it, Don.
Don Templin: At our Investor Day.
Doug Terreson: Yeah. Okay. And then also Marathon Petroleum is clearly an asset-rich company, especially post the Andeavor transaction, which suggests that divestitures could expedite streamlining and optimization of the portfolio, and this could go on for years to come as well. So, my question is, while Gary you talked about this in your comments, could you expand on how you think about this opportunity. Are there areas that are likely to become non-strategic that might not have been before? And how significant could proceeds from divestitures be if you chose to pull that lever in coming years.
Gary Heminger: Sure Doug. And we announced you need to be careful when you announce asset divestitures until you have a fully baked, I would say, but this has been part of our strategy ever since we are though even before we close the transaction with Andeavor to be able to look at assets as you said, that may be non-strategic and we're looking at across the entire portfolio. It's not just one segment versus another. We are looking at across the portfolio, we have identified some assets across the portfolio. And this isn’t just a one year or a short-term thing that we're going to do, this was part of our plan all along. So, we will provide more data to the investors as we go forward. We've already proceeded with a couple of our packages on some assets, it's private at this time, but we will continue on, but this is not a short-term thing, Doug, and your question certainly pieced it up correctly. We are an asset-rich company. We look at some assets that probably have more value at somebody else's portfolio than ours and I proceed accordingly.
Doug Terreson: Okay. Thanks a lot guys.
Gary Heminger: All right Doug.
Operator: Our next question comes from Manav Gupta with Credit Suisse. Your line is open.
Manav Gupta: First Garry, Don, Mike in the rest of the team, thanks a lot for tons of more disclosures in reporting format. They're really helpful to the investment community, adjusted EBITDA, Slide 9 on distribution cost exactly what we needed for modeling MPC better. So, thank you for that.
Gary Heminger: You're welcome.
Manav Gupta: I have two quick questions are Gary due to the lack of heavies specifically on the Gulf Coast, what we're seeing is a trend toward running more light sweet crude. But what that is also doing is creating lot more NAFTA in NGLs, which in turn is hitting the capital rate. Your results showed relative installation from the trend, but we are seeing it in the industry. I'm trying to understand your view on this if the industry continues to run more and more light crude, will the capture to take a hit because of it?
Gary Heminger: Sure Manav and thank you for your comments on the additional disclosure information that we provided. We're going to ask Ray to -- Ray Brooks runs refining to take this question as he optimizes our all our crude slate. Ray?
Ray Brooks: Sure, Gary. Manav, we fill our crude slate to optimize our process units and when we talk about light crude, this really pulls of reformers into play and so we get ranges on our abilities to run light and heavy crude and this is all based on what the capacity of our reformers as in that regard. Now, having said that, Marathon is a net buyer across the 16 plants up NAFTA and another light component natural gasoline. The reason for this as we have really two octane generating machines across our system in Garyville and our Robinson refinery because we have multiple high-quality reformers at those facilities. So, I don't look at light crude as an obstacle. I look at it as an opportunity for us.
Manav Gupta: That's very good to hear. And one quick further question, couple of days ago. A European refinery has indicated that reduced demand for high sulfur fuel oil due to IMO won't necessarily weigh on the prices of high sulfur crudes. In MPC's view, is it possible that high sulfur fuel oil price crushers and it has no impact on Maya and WCS pricing?
Ray Brooks: I'm going to start off answering that question too and then I'm going to allow Rick Hessling to add on that. In refining, when we evaluate our crudebales , we do that based on the offered price and the value of the crude in our processes. So, the crude has a lot of sour bottoms, which is HSFO that absolutely comes into our valuation and how we -- what we're willing to pay for the crude. So, Rick, do you want to elaborate on a little bit more on the crude side?
Rick Hessling: Sure. Hi, Manav I would say it will have an impact on crude prices, especially like Maya and WCS. When you look at the world and even though I would say that it's somewhat offset by the lack of Iranian and Venezuelan barrels and OPEC barrels coming in, I will tell you that high sulfur fuel oil is not directly -- if it's not directly priced into the Maya formula, it has to be accounted for indirectly when we look at the crude makeup of Maya. So, I think you will see a shift in prices there. And I would also say the same is true for WCS. We'll value that crude based on its dispositions and its crude qualities and I think you will see that differential move as well, Manav, because it has to be accounted for.
Manav Gupta: Thanks, guys and congrats on a great quarter.
Gary Heminger: Thank you.
Operator: Our next question comes from Benny Wong with Morgan Stanley. Your line is open.
Benny Wong: Hi guys, thanks for taking my question. My first one is really on the West Coast, which we recently saw had opportunity to host a tour and visit refineries there. It was impressive to see the level integration and talent you guys have on the ground. I really want to ask about your outlook of the margin environment for rest of the year, which has been pretty soft recently. I was also hoping you'd be able to talk about your key execution focuses on the West Coast and I think, you kind of initially touched on the cracker opportunity in that way earlier.
Mike Hennigan: Right. Let me have Ray take that, Benny. Let me start off so both but talk about. If you look at the West Coast crack spreads and how the market has fluctuated, there had been some downtime in some refineries early in the second quarter, which are resolved in a lot of imports coming in that ended up having too much inventory in the West Coast, we see that being a run down and the inventory situation coming back more into balance now. So, we think that was a temporary lull in the early part of the second quarter. But specifically, your question, Ray will talk about some of the things that we're doing.
Ray Brooks: Okay. Benny it was, it was really great to spend some time with you and some of our other investors showing -- showcasing some of our Los Angeles assets. Gary did a good job at that. Talking about the margin environment, I want to focus on the refinery. Specifically, we mentioned several times now about the catalyst opportunity on the cat cracker. But we want to make sure we optimize the asset down in California, whether it's Los Angeles or Martinez. The early indications from the cat starting up in Los Angeles look very promising versus what we were expecting. As far as areas of execution, there's two words I want to focus on reliability and cost. From a cost standpoint, we've done a lot of work in the first nine months at both Los Angeles and Martinez doing some planned maintenance work. We're very proud of our teams on how we were able to pull that ahead of schedule and under budget. Both which have cost impacts. Now the focus is on reliability, we've got that kind of a clear plan with low maintenance ahead for California and we want to focus on delivering reliable performance about those assets, so reliability and cost is what we're focused on.
Benny Wong: Great. That's great detail guys. My follow-up is really on the demand side, we've seen gasoline consumption kind of has those slow start beginning to summer rebound strongly and then at recently became soft again. Just wondering, if you can provide some thoughts on what you're seeing and what you expect given your unique perspective from refinery down to the retail pump. And if you can add any thoughts on the distillate side as well, which has been pretty weak lately as well, that'd be great.
Gary Heminger: Sure, Benny. Let's take gasoline first and you said it right, at the beginning of the summer and you recall that the entire Mid-Con was having a very, very wet early, late spring early part of the summer. It's only been kind of a last month that things are finally drive up and business getting back to normal. So, we lost a lot of the kind of front end, if you will, discretionary driving that families do across the Mid-Con early in the vacation season. But you're right, we have seen that it will be stronger until tropical storm Berry came about and dumped off a lot of weather up the Mid-Con and a little bit into the southeast. Today, we're seeing improvement in gasoline demand and as I said earlier in my comments, we think gasoline demand is going to be flat for the balance of the year. The distillate was pretty much the same story. If you look from Iowa, all the way through Ohio, on average, probably only 50% of the agricultural demand came about as because of the farmers just could not get in the fields and again about 50% of the planting, and then you have cultivating and then eventually harvesting is going to, I think continue to put some pressure, but you look at overall distillate inventories they're at the lower end. If you look at distillate inventories by exports at the lower end of the five-year average, which we believe, continues to be a positive point for our business going forward. And I think as we went to -- indicated that we're starting to see some early contributors to IMO with the incremental demand that we're expecting to see, we still think that distillate in the second half of the year is going to be strong.
Benny Wong: That's great thoughts guys. Thank you very much.
Operator: And next we'll go to Roger Reed with Wells Fargo. Your line is open.
Roger Reed: Yeah. Thank you and good morning. And well, not one of my questions. I do want to say, thanks for the detail on the synergies and congratulations on the progress so far. I'd like to kind of ask you though about Tier 3. Obviously, we've heard some comments from other companies about issues with naphtha and given its low octane component, difficult to get rid of in this market. So I'm just kind of curious, how you believe you set up with Tier 3 if to the extent that you can offer it maybe how that compares to the industry and then what you might be able to do in 2020 and beyond in terms of taking advantage of your own system to make more octane or acquire octane cost-effectively.
Greg Goff: Hey, Roger, this is Greg. And I'll talk about that. First, we're very well positioned with regards to Tier 3 and I am going to talk on 2019 standpoint when we came together with Endeavor, we had the flexibility from a sulfur credit standpoint to optimize that across our 16 plant system and really for this year has allowed us to run a couple of refineries more aggressively with regards to octane and sulfur standpoint. Additionally, we have two capital projects, one at Mandan, one at Galveston Bay that will be completing in the next couple of months that give us the capability going forward to meet to the Tier 3 demand for 2020. Now, your question on octane in the previous question, I mentioned that we have a lot of octane generation capacity. So we will continue to use that. We feel good with our plan for Tier 3 and don't see an octane imbalance at this point.
Roger Reed: Okay, great, thanks. And then changing gears a little bit, crude differentials all the issues, globally we could point on the heavy side and then what we've had out of Alberta as well. Just wondering what your outlook for really mostly the heavy crude, but if there is any sort of additional thoughts to add on the WTI side of it as well. Just the outlook for the back half of 2019 and I guess a little bit tie into -- I believe it was Manav's question about the impacts of IMO in terms of heavy versus light or sweet versus sour, as we go into the beginning of 2020.
Rick Hessling: Hi, Roger, this is Rick Hessling I guess I'll start with heavy crudes on the Canadian side as a reference, we ran approximately 600,000 barrels a day combined heavy and light Canadian crude and that's somewhat consistent with what we've planned in the past. When you look at us versus our competitors, I think you'll see that we have incredible pipeline capabilities and we're not married to any one crude. And so we didn't really have a significant shift change. I would tell you looking forward from a Canadian perspective, we're bullish here recently within the last week, the mandate again was reduced another 25 a day. You have the potential assignment of the rail contracts, which we believe may be married up with the deals with producers that could allow them the flexibility to produce more crude. And then if you look at the increase in rail movements month over month and the dropping of the Canadian inventories all this is a positive sign certainly, for differentials reaching that $20 a barrel mark on the heavy side. On the WTI side, what I would tell you is, you're seeing a little bit of dislocation between WTI and WTI light. We're a buyer of the light, that's a discounted crude that we're running at Galveston Bay and in then throughout our PADD II system. So we continue to see that dislocation happen. Certainly, I think it's been well-publicized at the end of this year, you're going to see a lot of volatility as increased pipes come online and the dock capacity struggles to keep up. So we'll be watching that volatility as well.
Roger Reed: Thanks. Maybe just one little add on to that, in terms of moving crude out of the U.S., is there any update on your project? I guess it's – I can't remember the exact little place and Louisiana, but down the Peninsula there, any timing updates there?
Mike Hennigan: Hey, Roger is Mike Hennigan. Yeah. So we continue to progress, LOOP is the name you were looking for. It's Louisiana Offshore Oil Port and we're trying to get more information into the market that explains LOOPs capabilities. It is the only VLCC capable port in the U.S. today. It has terrific capabilities. We've talked about the capability to load several VLCCs within a week. So we anticipate more and more opportunity there going forward and the LOOP people are trying to get the message out as to what our capabilities are. 
Roger Reed: Great, thank you.
Operator: Our next call comes from Paul Cheng of Scotia Howard Weil. Your line is open.
Paul Cheng: Hey guys, good morning.
Mike Hennigan : Hey, Paul, welcome back. 
Paul Cheng: Thank you. Two question, one relates the IMO the one related to the Philadelphia energy solution shutdown in your impact. On the IMO 1, Gary and Ray, wondering if you can talk about how easy or that how much is your capability to run the high sulfur fuel oil as a feed directly into your coker and what is the pricing need to be in order to make that economic? And also if you can talk about your post Tier 2 brand into the VLSFO as you would you intend to use primarily to VGO or are you trying to attempt directly branding the high sulfur fuel oil? And then along on that you probably have seen the pattern from Exxon and Shell and just curious is that when your legal team that how they look at and how easy or difficult just for the industry to be able to brand their compliance fee while you are finishing those pendants?
Mike Hennigan: Okay. Sure, sure Paul, I'm going to turn this over to Ray. But I am glad to see you haven't changed, you were able to get six questions in your first question. 
Paul Cheng: It's just three.
Mike Hennigan: I'll turn to Ray to answer.
Raymond Brooks: Okay. Paul, I'm going to start off with the patent portion of your question, we are continually monitoring the existing patents in the space and we are applying the appropriate and intellectual property analysis and strategies to protect our interest and facilities where we anticipate selling low-sulfur fuel oil products. Now having said that, what I want to emphasize is that this is a small part of our IMO strategy and you really hit on it with the first part of your question where you asked about high sulfur fuel oil into our Coker. It's -- for us IMO strategy, our base plan is resid destruction and asphalt sales and we've invested a lot of money in both of those systems and we look to take advantage of that. As far as high sulfur fuel oil, though we had put infrastructure in several of our refineries to not just process, our own internal material at that refinery, but some of the other material from our refineries and then third party material and to give you an example, we put receiving logistics infrastructure and a Garyville so that we can take Catlettsburg, Rougeunit pitch down and process and the Garyville Coker, similarly with our California refineries. We want to have the capability and will have the capability to process material from Anacortes and from Kenai refinery. So feel real good about that our goal is not to have to sell on a steady state basis, high sulfur fuel oil components. Now there's been a lot of discussion about how the low-sulfur fuel oil will play out, whether it will be low-sulfur vacuum gas oil blending or ULSD end of the pool. A lot of opinions out there certainly from the sulfur blending standpoint if we get -- we'll get more bang for our buck with ULSD, because it's a much lower sulfur. Having said that, we will do what the market tells us to do. We have the capability to make a lot of ULSD, we also have the capability to pivot and pull LVGO, sweet LVGO out of our cat crackers at the market says that and apply that supply that to the market.
Paul Cheng: Thank you. And that the second one Gary for Philadelphia Energy Solution bandwidth see and how that may impact how you run or plan for your Midwest operation?
Raymond Brooks: Sure. Well, let me turn this over to Dave. We just had a big discussion internally yesterday about this is, as we look at our, we have many different supply wheels and as we look at the European ORB versus the Gulf Coast ORB and how that is really changing some of the flow of the barrel. So I'll turn this over to Dave Whikecart, he can get into more detail.
Dave Whikehart: Yeah. This is Dave Whikehart. It appears that the ORB has been opened from Europe and we've seen the import volumes on gasoline come into the East Coast and July might actually turn out to be a high as import volume numbers probably for the last couple of years. So that seems to be the way that the markets are responding at this time. Interestingly, what we've seen in terms of impacts to our supplier situation is we've seen demands on the Gulf Coast actually increase. We think it's because of these barrels have been directed to the East Coast and that's really freed up some opportunities for us to use our system to export more out of the Gulf Coast.
Paul Cheng: Dave, do you have more capability or capacity in the Colonial pipeline to do it, and does it in any share will form impacting the pending there?
Dave Whikehart: Yeah. On colonial just a comment there, initially you saw the line space increase in value. I think that with the imports coming in, it's attempt that down a bit, but you would think that the shorter position in the Northeast would pull up the line space value and we would benefit from that given our position there. And just a general response Gary concerning our daily activities of trying to assess the opportunities to connect our refineries to markets, looking for those infrastructure investments that will enhance the return back to the refineries and put those supply options in position and that's an everyday activity for us and this opportunity is no different.
Paul Cheng: Thank you.
Operator: Our next question comes from Neil Mehta, Goldman Sachs. Your line is open.
Neil Mehta: Thank you, everyone, and appreciate the incremental disclosure it goes a long way and congrats on a good quarter here. The first question I had was just on Speedway is really good quarter at Speedway and so I guess the big picture strategic question is, how is the operational integration going with the West Coast retail assets that you picked up and getting them to same EBITDA per store level as your East Coast footprint. And then the more tactical question around Speedway is should we expect a strong financial performance that you saw in Q2 to carry on here in Q3. Given what we've seen with crude prices?
Tim Griffith: Thanks, Neil, its Tim. On the integration side, things are going along nicely. You've heard about the progress on the conversions and we will probably in fourth quarter really get out on the West Coast for the conversion. The EBITDA per store per month metric is -- we'll certainly watch it, for a lot of the locations in the West Coast, they are a little bit different footprints than what we have had in Midwest. So there could be some variance to what we've seen in the Midwest as we go, but will be a big focus. I think a lot of those locations were really built and designed for fuel volumes, less so for merchandise and for store footprints. But we'll certainly evaluate those opportunities, and see where they exist and where we may want to make investments to expand that as we go forward. In terms of performance, quarter-to-quarter, obviously, second quarter benefited from fuel margins, we saw in late in the second quarter, a little bit of softness in crude prices and as you know, the retail prices are a little bit sticky and you saw a little bit of capture in that environment. It will really be a function of what that price environment and commodity prices look like into third, certainly from an operating and from a merchandising perspective, we'd expect performance as good or better, obviously, the synergy capture we reported for the quarter over 30 million and that's going to continue to ramp. I mean, a lot of the conversions correctly enable that synergy capture. So I think we'd expect performance to be as good or better on that front. Fuel margins, we'll see what the commodity price environment affords and what we're able to capture over the course of the quarter.
Dave Whikehart: Neil as you remember, the way we put the synergy capture together, Retail is really going to lag. Some of the other segments just because the time it takes us to get the stores converted and re-merchandised. But again, we're -- as Don illustrated, we're ahead of our plan within Speedway, but we expect it to have a much stronger cadence here starting in the fourth quarter.
Neil Mehta: I appreciate it. Look, the follow-up question is as it relates to the Northeast part of the mark, the legacy MarkWest assets and your MPLX business, there are a lot of questions that we're getting about the health of your customers out there and the challenges around NGL prices. So can you help again frame the commodity risk that we're thinking about as we think about this midstream business and how we should get comfortable around some of those risks that might exist out there?
Mike Hennigan: Hey Neil, this is Mike. Yeah. First off, we’re keenly aware of all the rhetoric around the Northeast Appalachia situation. What I think you're seeing from the producers, however, is a response that is positive and moving toward staying within cash flows to make sure that they have a strong financial position. A couple of our largest customers have come out and released our earnings and they're showing that they are directionally moving toward that mode. I mean, what that means for us, however, is a little slower volume up there, but that kind of fits what we're trying to accomplish. One of our goals is to diversify our asset base, very much like our Northeast position, but we're trying to diversify, a little bit more into the Permian and some other assets on the O&M side of the business, the long-haul pipelines that we've talked about previously. So to the extent that the Northeast producers live within cash flow, blow down capital a little bit, which is a little slower growth that's been there in the past that kind of fits what we're trying to accomplish. So that we can redeploy capital in another area and still enjoy strong free cash flow generation out of the Northeast. We've been putting a lot of capital to work up in that area and the fact that if it slows a little bit will put us in a free cash flow generation position. So harvesting cash out of the Northeast and deploying it in other areas, it's fitting the strategy that we want to accomplish.
Neil Mehta: Thanks everyone.
Dave Whikehart: You're welcome.
Operator: Our next question comes from Phil Gresh JPMorgan. Your line is open.
Phil Gresh: Yes, hi, good morning. The first question, just following up on some of the discussion around the streamlining asset sale opportunities, the opportunities to trim capital spending, how do you think about Gary, the right long-term level of financial leverage on the balance sheet, obviously, a lot of your debt is at the MLP level, but talking -- going back to the Analyst Day, thinking about the $2.5 billion of buybacks that you have committed to and clearly executing on year-to-date, do you think that there should be some balance sheet priority at all for any potential future capital allocation? Thanks.
Gary Heminger: Sure. I will ask Don to cover that. But one of the things, Phil on -- when you look, as Don mentioned in his comments today. We think the appropriate way to look at the balance sheet leverage for both MPC and MPLX is to bring the distributions, take account of those distributions back into to MPC. Don remarked on that in his comments. And let me ask Don to go into more detail here on the leverage.
Don Templin: Yeah, so Phil, I think both on the MLP side, in that the corporate level, we're going to defend our investment-grade credit profile and when we think about defending our investment-grade credit profile. What we really look at is the risk around the cash flows and the volatility of those cash flows and the consistency that you have. So as we think about that informs our decision about how much leverage we want to have as we think about the Midstream to date, sort of that four times debt to EBITDA leverage has been one that we think is appropriate and continues to support an investment-grade credit profile and if we take a view that the risk has changes in the future. I think that will inform our view about how much leverage we want at the MLP. And the same thing as we think about what's going on at a corporate level, and I think it's appropriate to really look at MPC and think about sort of the $9 billion of debt. It's responsible for that it's not responsible for the debt of the MLPs and when I think about that $9 billion of debt and our cash flow generation capability, if you think – if you take the distributions that we get from the MLP back, it's sort of a 1.1 times kind of leverage metric, we feel very comfortable with that, especially, given the really strong performance of Speedway more than $600 million of EBITDA in the quarter. So the cash flow profile, the risk that we think is attendant to that part of the business is what's going to really influence where our leverage goes and how we manage it.
Phil Gresh: Okay.
Dave Whikecart: And Phil, a couple more comments I stated in my remarks earlier that as we look at optimizing assets, Mike Hennigan has talked about several key projects of high-grade his portfolio, we have the opportunity to use some of the proceeds to invest in those high-return projects. We certainly can reduce some debt, if that makes sense in either side of the business. So we have many options and many triggers that we can pull as we look at our capital plan going forward.
Phil Gresh: Okay. I appreciate that. My final question, Gary, I think the – a lot of the questions around the macro environment has been demand-related, there has been some cautious commentary from one of your European peers talking more kind of supply related, more refineries coming back from turnaround in the second half to perhaps some capacity additions, the offset here. Obviously, we had the situation with  just curious how you think about the supply side, the dynamics and then if I could just quickly layer in that the capture rate that you had in the second quarter, I guess this is for Don the 82% number and the normalized 90% that you've talked about with the lower level of turnarounds for yourself in the second half, is there any reason to think you shouldn't be able to kind of get back to that normalized run rate? Thank you.
Dave Whikecart: Right. And just an outlook on the market, you know the West Coast markets the day and so far, here are – well, I really should talk about the latter part of July, have been our recovering is probably the proper word stated earlier, there were some imports on the West Coast that kind of put some pressure on margins, that seems to be cleaning up and margins are improving on the West Coast in the Mid-Con the same thing there are a lot of barrels that moved into the Mid-Con due to some turnarounds as the Mid-Con margins have improved here recently. The area that has been really lagging this year has been the Gulf Coast and across the entire industry, and we're in that period of time that you're going to probably see some dislocations, as storms go through. And you have tropical depression and so on so forth. So, I think third quarter generally, gets it's stronger in the Gulf Coast. And as Dave just mentioned, with our PES closure, how some of the supply wheel is changing, is going to take some more barrels from the Gulf Coast, capture rate into the Northeast as well as some more export volume that's going to go wild. So, I would say, all in all, from a macro standpoint. I see margins being slightly positive, where they were in July. And Don is going to cover your next question.
Don Templin: Yeah, Phil, with respect to capture rate, you're right to point out that in the second quarter, there was turnaround. And that obviously impact of that. The other thing that just to remind you is that, the correlation between gas prices, gasoline prices and some of the other products that we sell. So, you know the propanes and the specialties and everything else that also impacts capture rate. So, assuming we get back to sort of a normal correlation between those, then we would expect that our capture rate will be very consistent with our historical rates. If gasoline, cracks run-up, that's good for our business, and if the capture -- if the other commodities don't keep pace with that, I'm not bothered by that, because the gasoline cracks have been running up. So, capture is important, but we are looking to try to maximize the value from all of the products that we sell. And to the extent that we see something that impacts that we will try to highlight it to you and communicated to you in advance.
Phil Gresh: Okay, thanks.
Kristina Kazarian: Great, well, we passed a little bit past the operator, hour mark, So, Operator. All right, well, thank you for your interest in Marathon Petroleum Corporation, should you have any additional questions or would you like clarification on topics discussed this morning, we will be able to take your calls. Thank you for joining us today.
Operator: Thank you. That concludes today's conference. Thank you for participating. You may disconnect at this time.